Alexandre Ricard: Good morning to all of you. I hope you have spent a wonderful summer. And so without further ado, let's dive directly into the exec summary and the key messages of our fiscal year '20 sales and results. I think the two keywords that could summarize this fiscal year are resilience and agility. Obviously, our first half, which you already are familiar with, was qualified as solid, perfectly in line with our strategic plan, Transform & Accelerate. We had growth across all regions and brands. We had good price and mix and we were driving organic improvement of our margin by roughly 50 basis points. And then came the COVID crisis, it started in China towards the end of January, spread very quickly to Travel Retail in Asia during the course of February and became global in the month of March and thereafter. At that point in time, we made it quite clear internally in Pernod Ricard to focus on two objectives there: number one, resilience and demonstrate the resilience of our business model; and number two, agility and show how quickly we could adapt the organization and our resource management to cope with this crisis. And first and foremost, obviously, the number one priority internally and which still is our priority as we enter into this new fiscal year for Pernod Ricard is obviously the health and the safety of all our employees and business partners. Some of the key lessons from this crisis is actually pretty strong resilience of the off-trade. We were, in fact, pleasantly surprised by the resilience of home consumption, but of course, difficulties in the on-trade and Travel Retail, for sure. We made it a clear point to end our fiscal year with healthy or sound stock levels across all markets, specifically, by the way, the key ones being the U.S. and China. We'll get back to that. I would also like to share with you something we're quite proud of is that if you take our top 10 key markets, we took the top 10, we've been either maintaining or gaining share in every single one of the top 10 markets of Pernod Ricard. As I mentioned it, we wanted to show how agile we were in terms of resource management, so we have been extremely active in terms of resource management. Bear in mind that all of that activity happened in the face of literally only four months when the crisis really hit. And this helped us mitigate the margin erosion to only, should I say, 130 basis points. Of course, during crisis periods, cash, and more specifically, liquidity position is critical. Cash is king. So we had a quite dynamic management of our liquidity position, which we reinforced during the crisis. Obviously, we raised during the course of the year, €3.5 billion, of which €2 billion during the month of April during the crisis. We'll touch upon this later with Hélène. I will also touch upon our Sustainability & Responsibility road map and on our transformation agenda, particularly regarding digital, our digital transformation. I think that one of the key lessons of this crisis, just as in many crises, what crises tend to do is they accelerate emerging or existing new trends. And two trends which were already here before the crisis were sustainability and responsibility, which is becoming increasingly important and which is critical for us and has been for many, many, many years. What this crisis has done, it has accelerated the importance of sustainability and responsibility across the world, and we've decided to accelerate that road map. And as well, what this crisis has done, needless to say, it has also accelerated digital trends. And we'll share with you our transformation agenda from that point of view and as well, a few numbers regarding e-commerce trends that have clearly accelerated during the course of the crisis. The following slide, just our key figures. So organic decline of our net sales of 9.5%. Reported sales down 8%, thanks to a currency -- positive currency impact. If you look at mature markets, down 8% organically; emerging markets, down 12%. And therefore, profit from recurring operations better than what we expected, down only, should I say, 13.7%. This leads to a net profit from recurring operations down 13%. And finally, a net profit down 77%, which is impacted by a roughly €1 billion asset impairment triggered by the COVID-19 crisis, and in particular, on Absolut due to Absolut's heavy exposure to Travel Retail on one side and also to the on-trade. So if we look at our -- as we dive a little bit deeper into our sales, as I mentioned, robust growth in the H1. And obviously, without surprise, significant impact in our H2, which leads to a global decline. If you look at the split by region, Americas down 6%, but with good resilience, and we'll get back to that in the U.S. and Canada, basically in North America, and -- but double-digit decline in Latin America and Travel Retail, Asia-Rest of the World down 14%, driven by China, India and Travel Retail. No surprise there. And Europe, down 6%, but pretty strong resilience and strong market share gains in Germany, in U.K. -- and the U.K. as well. And Eastern Europe and Central Europe actually performed quite well. And again, Travel Retail and Spain and France were quite hit. If we look at this from a brand point of view, by brand category, Strategic International Brands, down 10%. We'll get into this later. Strategic Local Brands, down 9%, mainly driven by Seagram's whiskies in India. And Specialty Brands grew during the fiscal year, up 7%, and that's despite the crisis. And that's driven by a favorable geographic exposure on one side and very strong dynamism of Lillet in Europe and Altos and Redbreast principally in the U.S. Strategic wines down basically 4%. A quick zoom on the fourth quarter, which I think -- which, frankly, was the worst quarter ever. Just to put it in a nutshell, the month of April was a month where I think most of the on-trade accounts across the world were closed. A lot of people were locked down. Passenger traffic was roughly down close to 100%. And our sales in India were down 100% as well. So Q4 was down 36%, as you can imagine. But again, as I mentioned, we were pleasantly surprised by the resilience of the off-trade. As I said during the introduction, I think it's something I'd like to take the opportunity to thank our teams around the world because it took a tough crisis. But if you look at this chart, what it literally says is that our top 10 markets either maintained or, in fact, gained shares during the course of the year. I think this is a testament to the exceptional commitment and engagement of our colleagues from around the world at brand level and at market level. So again, you have the split of our sales by region here, and let's start with our must-win markets, and the most important one of all, the U.S., where we believe we've had a robust underlying performance. It's probably been -- it has been the most resilient market during the course of the crisis, thanks to the off-trade. We believe that the market is currently growing, well, during the course of the fiscal year '20. So over the last 12 months, the market has grown slightly below its long-term trend. Before the crisis, we believed that the market was roughly at plus 4%, 4.5%, let's say. Right now, we believe that over the last 12 months, the market is probably between 3% and 4%, let's say, slightly below 4%. And that's a mix of precrisis, much above 4% and post-crisis probably below 4%. We have seen and you've all seen through the Nielsen Panels an acceleration of the premiumization trend in the U.S. on one side and as well as a clear shift to what we call tried and trusted brands and I would say as well with a clear consumer behavior shift to big formats as well. So the consumer behavior adapted to lower frequency rate of going and shopping. And to do that, you spend less times -- you go shop less. And once you're in the shop, you spend less time. So it means that trusted brands and big formats. And obviously, and I'll get back to that later on, significant jump in e-commerce sales in the U.S. We believe our Pernod Ricard sell-out to be roughly at plus 2%. That's our estimate, which is broadly in line with both the on-trade trends and the off-trade trends during the course of our fiscal year. And the sell-in, which is down 4%, is a pure consequence of a very tight inventory management strategy and also context of the prudence of the trade, and of course, protecting our cash in the U.S. So we believe, and as I said it during the introduction, that we've ended the year with a sound or healthy stock level in the U.S. From a portfolio point of view, good performance of Jameson with a clear acceleration of the growth in the off-trade, no surprise, a softer performance in the on-trade, the lockdown in many countries and the closures of on-trade accounts literally happened, I think, 48 or 24 hours ahead of St. Patrick's Day, which was a big blow for Jameson and our Jameson teams, which were ready with a pretty strong activation plan. But listen, that's what I told them, that's life. Our growth relays performed pretty well. If you look at The Glenlivet, acceleration of share gains across basically all channels, very dynamic growth of Founder's Reserve. And also, we've been quite active on the innovation front with the launch of Glenlivet 14, which occurred exactly a year ago, and the launch of Caribbean Reserve, which took place in Q4. Martell, pretty dynamic sellout in the off-trade, driven by Blue Swift, but also heavy impact due to the on-trade exposure of the brand, our tequila brands have, in fact, accelerated during this crisis, tequila being one of these segments that benefited when the crisis did hit. It probably accelerated the growth of that category, so we're pretty happy with the performance of both Avion and Altos. And Jefferson's has been quite performing well as well before and even more so during the crisis. I could keep on talking about our future growth stars, but a pretty dynamic performance of most, if not all, our growth stars. And as for what we call bastions, Absolut, while still challenging, but resilience in the off-trade for Absolut as a brand. We have reduced the gap growth of decline, say, of Absolut relative to the category, the vodka category performance. And finally, very strong performance of Malibu and by the way, of Kahlúa, which has accelerated during the crisis. So that's for the U.S. For China, as we had said and we confirm, progressive recovery in Q4, so in line with our expectations, we had, had a strong growth in the first half. If we look at Q4 versus Q3, we see an improvement of sales in line with what we had shared with you during the last communication. Progressive reopening of the on-trade outlets and recovery of consumer confidence. I think the number today is, we believe, 90% of the outlets are reopened. And when we say 90%, it means that you can assume it's 100% because the other 10% will probably never reopen. And we also, as I mentioned, China is one of the clear markets where we've witnessed a clear acceleration of digital both in terms of marketing initiatives, in terms of activations, in terms of content, but also in terms of e-commerce, for sure. Brand resilience, clearly. Of course, Chivas and Martell have undergone strong decline because they are two most exposed brands, not just for us, I think, for the industry, too, to the on-trade. We maintained our very strong leadership share for Martell. And by the way, worthwhile noting that sell-out is back to growth in value terms in June for Martell in China. Very good pricing overall on our strategic brands for China. And despite the crisis, strong growth of our premium brands, in particular, Jameson, Beefeater and The Glenlivet. India, frankly, I would say it's a good resilience of India as a market despite what I mentioned earlier on, which was the very strict lockdown disrupting our fourth quarter. Again, during the month of April, we were under full lockdown, zero sales in India in April. Despite that, only, should I say, minus 11% during the course of the fiscal year. We consolidated our leadership position with our market share still above 45%, and in fact, still growing slightly. Low single-digit growth in fiscal -- in the first nine months despite what we had shared with you during the H1 communication, which was pretty disrupted the first half with flooding and weaker macroeconomic conditions. And I won't go back to the lockdown. And finally, our fourth must-win key market. Well, I would say, unfortunately, unsurprisingly, Global Travel Retail, down 27%. And by the way, we do expect that specific, very specific channel, to keep on being subdued during this new fiscal year. And I'll share with you a couple of numbers at the beginning of this year in terms of passenger traffic. Anyhow, the good news is we have reinforced our leadership position. And we have gained shares during the course of calendar year 2019. Overall, 80 bps of improvement, we had pretty strong sell-out trends in H1 particularly, by the way, on Martell and the higher-quality whiskeys. On our gin portfolio, we were quite active on the innovation front. But listen, you know the story, I won't dwell upon it. Second half was extremely tough for Travel Retail. I would say very good resilience in Europe with a pretty strong performance and pretty strong market share gains overall. France, minus 5%. But beyond the number, I would underline the fact that we've implemented project Reconquer. And as of July 1, the new legal entity and new one team, Pernod Ricard France, has come into effect. So this happens, by the way, during the lockdown. And Spain, down 18%, obviously, all skewed towards the second half of the year, which was very heavily impacted by the on-trade, and as you can imagine, the borders. U.K., very strong resilience with growth including during the second half, during the crisis, driven, of course, by the off-trade. And as I mentioned, very strong share gains overall in the U.K. Same story, by the way, for Germany, which was up during the course of the year, double digit, 11%. And I would like to underline the strong growth of Lillet, but also of Absolut and Havana Club in the German market. Russia, very good resilience as well, only down 2% with a good price and mix. And finally, Poland, up double digit, plus 10%, and as you may know, Poland is principally an off-trade. And this is a pure example -- illustration of the strong resilience of the off-trade during the crisis, very briefly, other key markets. Canada grew as well. As I mentioned, Latin America was in decline. Asia-Rest of the World, good performance of Japan despite, obviously, a very disruptive Q4. Korea, down 27%. If we exclude Imperial only, should I say, down 9%. And Africa and Middle East, modest growth up to the first nine months. But of course, Q4, as you can imagine, principally driven by a complete total alcohol ban in South Africa. And it's important as well to stress the extraordinary performance of Pernod Ricard in Turkey, which grew double digits during the course of the full fiscal year, which is quite incredible and driven principally by Chivas, Ballantine's and tequila and vodka. Very briefly by brand. Again, on that slide, you have the overall view. If I start with Martell, obviously, good growth in H1 and severe impact due to Martell's very strong exposure to Asia and China, in particular, and of course, to Global Travel Retail. So let's recall that H1 was up 4% on the basis of a very high comparison, up 23% in first half of fiscal year '19. And if you look at H2, this is where you see almost down 60% versus H2 of the previous year, again, due to the exposure I mentioned. But we continue our value strategy. And I think it's worthwhile mentioning, as I mentioned it already before, that we ended the June end with a very healthy stock levels basically everywhere and on Martell, in particular. Jameson, almost stable, which is also a great performance given the situation, with a very strong first half of the year, up 9%, where the brand was basically doing extremely well in the U.S. and accelerating and also in line with the strategy for the brand, which was to and still is to globalize Jameson. It was basically growing literally everywhere and then while H2 down 14%. Jameson is one of these brands that has more exposure than the average or than our fair share to the on-trade and also is one of our key brands in Global Travel Retail. If we look at the Jameson portfolio itself, which is growing as a portfolio, Jameson Original is gaining share in its key markets. Black Barrel did experience strong growth during the course of the fiscal year, up double digit. And our innovation strategy with Triple Triple Travel Retail and Cold Brew mainly in the U.S. is showing some pretty good early results. Scotch, I think the key point there and I think this is probably -- relatively speaking, probably our best performance for this past fiscal year. We've had some strong market share gains with our scotch portfolio, which is down 11%. So we've outperformed competition in the key markets, in scotch key markets, whether it's the U.S., France, Germany, Russia, Turkey, Australia, Taiwan and Poland. This dynamism has been driven by our premium scotch and single malts. So Chivas is down 17%, I would say, for similar reasons to Martell due to its strong exposure to Travel Retail and to Asia, in particular, China. The Glenlivet grew over the full fiscal year. And again, I won't stress again the innovation strategy behind The Glenlivet. Ballantine's is down 8%. But if you look at Finest, Finest has, in fact, experienced a pretty good relative year, down only 3% and gaining share, I was going to say, in all markets, but let's just say in most markets. And finally, Royal Salute, down 2%. Absolut, the year has been challenging. We have grown quite nicely in a number of international markets. But again, Absolut, as I mentioned during the introduction, is quite exposed to two things: to Travel Retail, number one; and to on-trade, in particular, night clubs and so on, which are still closed in most, in fact, markets. So it's a tale of two stories, a stable H1 and a very strong decline in H2, down 24% for the reasons I just mentioned. Well, other key brands. Briefly, Beefeater down 7%; Havana Club, more or less the same, down 6%; Malibu, very good growth, up 5%, actually one of our best years for Malibu; Ricard, down 6%, mainly driven by border shops, which are important for the brand, which were closed; Mumm, down 13%; Perrier-Jouët, down 12%; and as I mentioned earlier on, our Strategic Wine portfolio, down only 4%. Very briefly, growth of our Specialty Brands portfolio, up 7%, which benefited from, I would say, two things. Number one, their positioning with the likes of Lillet in Europe, which is really a very high-momentum brand, not just in Germany, in most European markets; but also our tequila brands in the U.S. as well as Redbreast, just to name but a few. So number one. And number two, our route to market. The Pernod Ricard route to market and supply chain, which remained operational during the entire crisis, benefited as well our Specialty Brands. In terms of innovation, which is obviously one of our key strategic pillars, stable this year. We stopped a few innovations that were planned because no need to launch in the middle of the crisis, especially in Travel Retail. And luxury, our luxury portfolio, declined 14% and this is clearly mainly driven by Martell. Well, Strategic Local Brands, down 9%. It's mainly driven by our Seagram's Indian whiskies. As I mentioned, to be fair, Kahlúa, Seagram's Gin and Olmeca all performed, in fact, pretty well given the circumstances. As I mentioned, what crises tend to do is they accelerate emerging or existing phenomenons. Sustainability and responsibility is gaining critical importance around the world. And what this crisis has done, for sure, it has accelerated this phenomenon. In Pernod Ricard, it has as well. It's not new for us. By the way, we -- back in May, we presented to you all where we were standing in terms of sustainability and responsibility. By the way, in spring of 2019, we launched our second road map, 10-year road map, because we've completed our first year road map, which, by the way, was completed by the end of this fiscal year. I do believe it is increasingly important for companies for many, many reasons. First of all, companies have a clear role to play to address and play their role in terms of addressing the environmental and social shifts, which are happening around the world. It does matter to our consumers. It matters increasingly. Consumers want to know what organizations, what companies lie behind brands when they choose brands. It's very important. It's important in terms of what we call our EVP, Employer Value Proposition. When I have welcome interviews with our key talents within the group, they don't talk about our strategy. In fact, our strategy is quite clear. What they're interested in and 90% of the interviews is about our sustainability and responsibility strategy. It's critical to attract and to retain talents. It also sparks innovation and builds purposeful brands. And every single one of our brands does stand for a set of very important values. By the way, all our brands come from nature. The ingredients behind our whiskey, behind our vodka, behind our gin, behind our cognac and behind our wine come from nature. They come from grapes, they come from grains, they come from potatoes and so on. And finally, I think it's the best way to express our vision: Créateurs de convivialité. We owe this to our people. We owe this to the world. Anyways, 10 years ago, we came up with our first road map, what we had called our 2020 Environmental Road map, as we have already shared this with you. By the end already of 2019, we were ahead of our road map on a number of very important criterias. Now that we're done, we've surpassed our target in terms of CO2 emissions. We were targeting a 30% reduction. We're, in fact, down 33%. And by the way, it's not over. We will continue, and we'll see how in a couple of minutes. Water usage as well, we're targeting reduction in water usage of 20%. We're down 23%. And we were targeting zero waste to landfill. We're almost there. We're down 95%. We should be there in the very near future. I won't go back on our new 10-year road map because we spent quite a lot of time on it. It's a very detailed road map with quite ambitious targets around four key pillars: nurturing terroir; of course, valuing people; circular making; and given the industry in which we operate, for sure, responsible hosting. And all of this, we'd like to say, we aspire to creating a more convivial world, a world without excess from grain, from the terroir over to glass. Very, very briefly, you see some of the key initiatives in terms of our first pillar, nurturing terroir. We were amongst the first ones in France to announce that we were banning glyphosates in our vineyards in Cognac. Many other initiatives on that front, in terms of valuing our people, I will only stress one thing, one of my biggest proud moments of this crisis. The initiative of producing pure alcohol and donating pure alcohol in many, many countries and also producing, believe it or not, hand sanitizer across the world, in fact, in all the countries where we have production facilities that can produce. This initiative came from our own people. I didn't wake up one morning and say, by the way, let's give pure alcohol. It's our teams on the ground that came up with these ideas, by the way, simultaneously across the group. It's not one country that had the idea before another. It's literally all our teams around the world that could and did. And therefore, more than 4 million liters of pure alcohol was provided to external partners. If you can imagine how this translates in terms of hand sanitizer. And as well, we produced in over 10 facilities around the world more than 1 million liters of hand sanitizer. Well, we have many, many other initiatives from that point of view, but I wanted to stress this because I think this is a perfect concrete example of what we're capable of doing when we say we need to help our communities around the world and companies and Pernod Ricard, from my point of view, for sure, have a role to play. Now if I go into circular making, which is all about safeguarding our natural resources and minimizing waste. Well, in the middle of the lockdown, we decided to accelerate what we could accelerate from that point of view. And we've decided to accelerate the ban we announced on single-use plastic point-of-sale items. Initially, we had set ourselves to be done with that by 2025. We now commit to be done with that by the end of next year. So that's quite an aggressive move amongst many other initiatives. And finally, responsible hosting, for sure, which is critical to Pernod Ricard, which is critical to the industry in which we operate. We took the opportunity of this crisis and having a lot of people under lockdown to make all our MOOCs in terms of responsible drinking available online and to make them -- go through them at home. So that's one other initiative amongst many that we did. So I mentioned that the crisis accelerated the conscious of people and companies about the environment and its importance. But it also accelerated other trends. And for sure, our business transformation, in particular, around digital is a clear trend that this crisis has accelerated. I mean if you look at the valuation of tech companies that are at their all-time high, I think this is a perfect translation. I don't know if it's the last. I don't know, I'm not an expert. But this is a perfect illustration of the acceleration of digital in the midst of this crisis. And I do believe that technology, that data, and more generally speaking, our digital transformation will -- is a great opportunity, is a wonderful opportunity for Pernod Ricard to address a number of issues, or in that case, opportunities that present themselves in our industry, whether it's market fragmentation, whether it's the birth or the emergence of new channels, whether it's our route to market. I'd like to see Pernod Ricard as being, in a way, we'd like to say that we have the most extensive distribution network in the world. I could say the vision there is to have the best platform in the world. And at the end of the day, it offers the best opportunity ever to really have direct interaction with our consumers from a transactional point of view. But I would say that's secondary versus as well in terms of knowledge, in terms of exchanges, in terms of communication. So we're undergoing a profound digital transformation in Pernod Ricard. By the way, it is not new. It is part of Transform & Accelerate. But what we've decided to do is to apply both words to our digital transformation in Pernod Ricard, which is not just do the transformation itself, but accelerate it as well. So both from a CapEx and investment point of view, an up-skilling point of view, an expertise point of view, we've decided to accelerate our initiatives on that front. I won't go into detail, but this could be the opportunity one day, talking under the control of Julia, but to maybe organize a call with all of you to share our vision and initiative around our digital transformation. But do expect strong investments in that area because I think this will open a wide range of activities for ourselves and just a few numbers to show that -- how much this crisis has driven additional opportunities. There's a clear acceleration of e-commerce. China, which is, for us, our biggest e-commerce market, if you look at our portfolio of brands, they grew 46% in that channel, which was already the fastest-growing channel, but that growth rate accelerated, look at the U.S., literally doubled. Our e-commerce sales, not Pernod Ricard e-commerce sales, for obvious reasons, due to your system and so on, but on-demand delivery sales, which is the way we view that channel in the U.S., literally doubled during the course of the year. Same comment for the U.K., up 92%. Same comment for France, up 56%. And if we look at our own marketplace, our own platform, which is now operating in 10 markets or so, it grew 50% during the course of the fiscal year. And specifically, during the course of the crisis from March to July, it more than doubled, plus 130%. As you can imagine, supply chain and logistics has been the biggest challenge from that point of view. Now obviously, it's nice -- it's nice. I'm kind of feeling alone here with Hélène in a huge meeting room. By the way, don't worry, we're doing -- we're practicing physical distance-iation -- distancing because the room in which we are is quite big. It's the boardroom. Anyways, initially, it would have been better to have you in our new auditorium in the city center of Paris in Saint-Lazare in a building called The Island. We moved during the crisis. I think that's quite an illustration of the fact that this crisis didn't stop us from doing everything we had planned to do. We have a new flagship building. We have our seven separate entities that are now under one single roof for a lot more collaboration, for a lot less or the disappearance of silos, and obviously, for a lot more performance, efficiency, utilization through the creation of centers of excellence. It's a hyper-connected building. I can tell you that. Now having experienced this for the last couple of months, obviously, perfectly in line with our sustainability and responsibility ethos, we have our showrooms. It is a very consumer-centric approach as well. We're located -- clearly, the first thing right below our building is one of our key accounts. It's a bar. So anyways, where we see our consumers on a daily basis, not in the morning when we come, but more in the evening at the operative time. Hopefully, you'll be able to get to know our new offices in the coming, maybe not weeks, unfortunately, but months, should I say. And on that note, I will pass on to Hélène to talk about our financial performance.
Hélène de Tissot: Thank you, Alex, and good morning, everyone. So let's move to the profit from recurring operation. So starting with the group P&L, so we talked already about the net sales decline of minus 9.5% from an organic point of view. You have on that slide all the details between H1 and H2, which is, as well, a very clear illustration of how we navigate through the crisis and what has been done as well in terms of cost mitigation. So back to net sales, resilient pricing on Strategic Brands. You mentioned that figure already, Alexandre, at plus 1%. Gross margin is down minus 12%, which has an impact in term of ratio of 140 basis points. This is driven mainly by an adverse mix linked to Strategic International Brands and especially the decline of Martell and Chivas, but as well, higher cost of goods with still strong headwinds. Unfortunately, I think I conclude them so far, usual suspects that are the agave pressure and a significant increase in terms of cost of glass at the Grain Neutral Spirit in India, but as well, lower fixed cost absorption in the context of the volume decline linked to COVID-19 impact, obviously, despite continuation of the operational excellence savings. A&P. So the ratio is plus 88 basis points, thanks to very strong mitigation plan in H2. It's minus 33% in H2, and for year, minus 14% in terms of A&P spend. Structure costs, 79 basis points down with top line decline reducing the fixed cost absorption, but a very strong cost discipline that is as well quite visual when you look at the H2 trend, minus 9%. Moving to the profit from recurring operation margin reduction, contained as you mentioned, Alex, to 130 basis points despite the significant sales reduction, which is demonstrating our strength in terms of cost management. Moving now to the different regions and starting with Americas. So COVID-19 impacted obviously the region in H2 and we had a high comparison basis last year, leading to a decline in profit from recurring operation of minus 13%. Gross margin is down 200 basis points, primarily driven by the U.S., where we have a negative mix both coming from format and channel. You mentioned that, Alex, the, let's say, new trend and environment adapted to the lockdown with significant resilience of the off-trade. This one-stop shop as well as favored larger formats, which is driving this negative mix in terms of gross margin. We have as well suffered from the agave price pressure and as well U.S. tariffs. A&P, down -- minus 12% with ratio at 110 basis points, a strong investment reduction throughout H2 to adapt to the context -- to the lockdown to be clear. Structure cost almost stable with a significant reduction in H2 as well with a rate of minus 120 basis points. With a strong mitigation in H2, I must say, the strong mitigation of structured costs and A&P materialized absolutely everywhere. So reported profit from recurring operations is at minus 9%, thanks to a favorable FX impact with the U.S. dollar that strengthened versus euro in fiscal year '20. Moving now to Asia-Rest of the World. So profit from recurring operation at minus 21%. Strong H1 growth more than offset by the H2 severely and with an earlier impact of COVID-19, in particular, in China and Travel Retail and then India in Q4. Gross margin, minus 136 basis points with an adverse market mix due to the increased rate of India that has been less impacted than China and Travel Retail by COVID due to the phasing of the sanitary evolution, inflation on glass and GNS that I mentioned before and lower fixed cost absorption due to the significant decline of the volumes of Martell in China. A&P broadly stable in term of ratio with a very strong plan in H2. And structure costs at minus 6%. Moving to Europe. So profit from recurring operation almost stable, so which is on top of what has been mentioned already in terms of overall business resilience of Europe in this fiscal year is showing as well the concrete implementation of a very strong cost mitigation. So top line, minus 6%. Gross margin, minus 8%, mainly due to adverse mix. This is especially due to the decline in Travel Retail and Spain, which is very exposed to the on-trade, as you know, and as well, lower fixed cost absorption. A&P, minus 17%. Very strong cost mitigation implemented in H2. Structural costs, minus 9%, with the implementation as well of several efficiency projects on top of a very strong cost discipline. This is especially true for France with the implementation of the Reconquer project. So a strong increase in term of profit from recurring operation margin by more than 120 basis points. Moving now to the net profit. Starting with the earnings per share from a recurring operation at minus 13%, so quite close to the reported decline of profit from recurring operation. Important to point the average cost of debt, which is reducing from 3.9% last year to 3.6% this year, thanks to lower rates on new bond financing. We've been quite active in term of refinancing with an issuance of more than €3.5 billion. Tax rate on recurring items is at 24% versus close to 26% in the previous year, which is due to reduction in Indian tax rate, quite significant one, and as well geographical mix. The reduction in number of shares is obviously reflecting the share buyback program that was implemented in the first nine months of the year. Moving to nonrecurring. So nonrecurring expenses first, minus €1.280 billion, driven by the brand impairment, close to €1 billion, mainly related to Absolut triggered by COVID-19. So the amount for Absolut is €900 million gross and circa €700 million after-tax. Restructuring charges, minus €178 million, which is including, especially the restructuring in France and in the Wine organization, other charges, close to €40 million that are COVID-19 related, including charitable donations and supply of hand sanitizer, but as well cancellation of some of the promotional events. Nonrecurring financial results, minus €38 million, this is mainly due to the one-off cost linked to the early redemption of April '21 bond. This early redemption accounts for 50% of this bond that happened at the end of June. Moving to the corporate income tax on nonrecurring. This is an income of €200 million, €210 million to be very accurate, and this is driven by deferred tax liability adjustment linked to change of tax rate in U.K. and India. If I move now to the group share of net profit, which is a decline of minus 77%, and this is mainly due to the nonrecurring items, in particular, the impairment charge I just described. If I move now to cash with the -- you have here the full cash flow statement. Just one comment here, our recurring operating cash flow is as well a very good reflection of the very strict cash management that was put in place in this fiscal year. We managed to protect our conversion rate to 80% in that context. If I move now to the recurring free cash flow of €1 billion with a very active cash management on inventory but as well on CapEx, which enabled us to protect the cash generation despite the decline in profit from recurring operations. So an increase in strategic inventories with -- due to lower usage of stocks in the context of a significant decline in sale, but this was partially offset by a very active initiative, as I mentioned. CapEx were maintained stable. As you probably remember, our intention was to increase our investment in this fiscal year to support our long-term ambition and we managed to stabilize them in the context of the crisis. But we are still obviously continuing to implement our strategic projects, such as the industrial projects like the new distillery in China and bottling hall in Scotland and as well office moves that we mentioned, especially for France. Operating working capital has been deteriorating due to the, I would say, the timing of the COVID impact in Q4, so higher finished good inventories, lower payables, which is the cash translation of the very strong cost mitigation, partially offset by lower receivables due to the Q4 sales decline. And we have to mention the impact of IFRS 16 on recurring free cash flow, plus €86 million. Nonrecurring free cash flow is mainly due to the restructuring cost I already mentioned. Moving to the leverage. Our net debt-to-EBITDA ratio at the end of June is 3.2%, higher leverage compared to last year due mainly to the lower free cash flow I just described, and as well, the increase in dividend, share buyback and dynamic M&A. You have here some illustration of our dynamic M&A policy with some of the acquisitions that we have completed in H2 with KI NO BI and Italicus and Monkey 47, but as well from disposal with Café de Paris; the share buyback program, which accounts for €523 million before suspension of the program back in April; our dividend payout in line with our financial policy of circa 50%; and additional lease liability for €600 million, which is following the implementation of IFRS 16. Return to shareholders. So proposed dividend of €2.66 per share, which is minus 15% versus last year, which will be subject to the -- submitted for approval to the Annual General Meeting, which will happen -- will take place end of November, and as well, implementation of the share buyback program that I already mentioned that was completed end of -- early April. And I hand over to you, Alex, for conclusion and outlook.
Alexandre Ricard: Thank you very much, Hélène. I won't go back to H1 and H2 fiscal year '20 numbers. I would just say that what we tried to demonstrate was, number one, the resilience of our business model; and number two our agility to move swiftly and quickly in terms of resource management. So given the situation, I do think that we were able to demonstrate these two objectives. Now going forward because, obviously, that's what you were probably most interested in and might be somewhat disappointed in because we didn't give any specific number guidance. We decided at this stage to share with you a qualitative guidance just because I don't think it would be prudent at this stage to give you factual numbers because the reality is I think it's more important for us to be focused on driving our performance in an environment, which we see continuing to be uncertain and volatile. So there's not 100% visibility on the coming months. We do believe the economic conditions will remain challenging. And for sure, we do foresee a prolonged downturn in Travel Retail. If you look at the month of July and the month of August, passenger traffic and passenger reservations are down between 80% and 90%. So we do see a prolonged downturn for that specific channel. On the other hand, and as you've seen during the course of this presentation, we also expect resilience of the off-trade, whether it's in North America, specifically in the U.S., but as well in Canada; and across Europe as well, whether it's Western, Central or Eastern Europe; with, as well, sequential improvement in China, India and also in the on-trade as it reopens over the course of the coming weeks and months. We will continue to implement clearly our strategy, Transform & Accelerate. What this crisis showed is our portfolio of brands, of known and trusted brands is the right portfolio for that environment. But also what this crisis also showed is the very strong engagement of our employees. Really, we'd like to pay tribute to them. It's not been easy, including on a personal note. We will continue to manage very strictly, obviously, our costs. We've implemented a number of guidelines internally to that effect, the most important one of them being, of course, purpose-based investment decisions. So everything we do in terms of investment is purpose-based budgeting. We will remain very agile to be able to basically capture every single opportunity as they arise. I think we've been pretty good at that if I take the illustration of e-commerce. We will continue to do so because I do believe that the recovery will vary quite significantly from one market to another and even from one brand to another. And as we mentioned, one of the key transformations we're undergoing is our digital transformation. And we'll -- this year will mark an acceleration of that transformation. So on that note, Julia, I hand back to you.
Julia Massies: Thank you, Hélène and Alexandre, and we'll now take the questions from our callers, please.
Operator: [Operator Instructions] We are now taking our first question coming from the line of Edward Mundy from Jefferies. Please ask your question.
Edward Mundy: Three for me, please. The first is on inventories. You mentioned healthy inventories as of the end of the year. I think historically, you've aimed to finish the year with the same inventory as you started the year. Do you expect inventories to match depletion in fiscal '21? The second question is around cost consciousness and agility, your ability to sort of swiftly move to protect the bottom line. To what extent do you see some of these savings that you're managing to take during the crisis? To what extent do you expect those savings to fall through to the bottom line on the other side of the pandemic? And then the third question is around moments of conviviality. I know that you reorganized your segmentation a couple of years back around moments of conviviality or conviviality experiences. At this early stage, can you talk about which moments of conviviality you think you may have lost as part of COVID-19 and which new moments of conviviality you might have gained?
Hélène de Tissot: Okay. So maybe I just have to take the first two questions, healthy inventory and cost mitigation. I hope I heard your question the right way. The sound was not perfect on our side. But let me try, I'm sure you're going to mention if I'm not answering rightly to your questions. So first, in terms of healthy inventory, question about matching depletion in fiscal year '21. Well, I think what has been clear in our performance this year is that we have a healthy lending position at the end of June. And as we mentioned, this is particularly true in key markets like China and the U.S. So obviously, difficult to know what would be the exact evolution of trade inventory in the coming months, we do not expect significant further destocking, nor restocking. I would say, but it will obviously depend on the dynamism of the different channels in the markets. So -- and obviously, our intention is to keep this very strict inventory management. If I move to the second question on cost mitigation, so first, as we mentioned, in term of expectation for fiscal year '21, we want to leverage the very significant efforts that have been made everywhere in term of discipline and continue to do so with this purpose-based investment. I would say, mindset, which means that we're going to keep having a very strict discipline in terms of structure costs. And for instance, we have still in place what has been put very quickly at the time of the crisis in term of global policy for recruitment freeze and travel ban. It is obviously still very valid. And we want to continue to be very drastic, but as well agile in terms of A&P investments to be sure that we are having the right level of investments depending of the dynamism of the market. As you saw in the presentation, obviously, at the time of Q4 when there were significant lockdown and when our consumer were at home, there was obviously no need to be super active in term of brand activation. We want to be agile on that. There won't be a one-size-fits-all solution, for sure not. That's why we need to be extremely focused on what's happening on the ground in the market. And I think for that, our business model is and has been super helpful and we're going to obviously use that in the coming months.
Alexandre Ricard: Yes. And thank you for asking your third question. I mentioned during the presentation that crises tend to accelerate trends or emerging trends and so on and so forth. What this specific crisis has done as well, it has brought the focus back to what is absolutely essential to people. When you're home with your family, your relatives and you're under lockdown, you sit back and think what is fundamental to you, what really matters, what's your purpose. And in that case, social gathering, the desire to be together, the desire to see your friends, the desire to reconnect is something that came back to us very, very, very strongly. And this pandemic has really proven this need to share moments with those who you care most of. Now unfortunately, what we've seen during this crisis because of on-trade closings, the big loser of this crisis in our industry, and it's very, very sad to say, are on-trade accounts, whom we, by the way, we did all we could and we're doing what we can to support them. If you're the owner of an on-trade account, if you're the owner of a bar, if you're the owner of a restaurant, if you're an owner of a nightclub, tough, it's -- I feel -- I have a few friends, obviously, in that sector. I feel for them. They have lost out a lot. Some of them will never, by the way, reopen. They're the big losers, so social gatherings in these places have been in significant declines for obvious reasons. But I can tell you one thing. Sooner or later, guaranteed, we will all find ourselves back in our favorite bars and restaurants to celebrate being together again. And this is, for sure, I can tell you that. And if you look at what happened this summer, especially with our consumer -- our target consumer base, 25-, 35-year olds, as soon as the lockdown was over, the first thing they did was reconnect together. In the meantime, beyond social gatherings in bars and key accounts that are undergoing difficult times, new opportunities have arisen and those are linked, by the way, thanks to digital. So I don't know how many of you have experienced what we call Apero Zoom, Zoom parties or Facebook parties or WhatsApp parties or Teams parties. I've experienced basically all of them, by the way. I do think the emergence of these virtual parties where people connect through platforms and share a drink, in some cases, actually build together -- make together cocktails and so on, this is something that has emerged. Obviously, as this pandemic goes away, it will eventually one day, you'll see this go, but not completely. I do think that this has created a new opportunity, especially for people who are in different cities that need to celebrate a birthday or something, a piece of good news, and that cannot connect physically because they're not in the same country or city and so on and so forth. So some new convivialité experiences have emerged from this crisis. But I think the opportunity, again, to stress how difficult it has been for some of our customers whom we support. And again, as we mentioned it in our outlook conclusion, there will be a sequential improvement of the on-trade globally, of course. I was mentioning the example of China where 90% of the accounts have reopened. The other 10% will not reopen. But new accounts will emerge as well. That's obvious as well. I hope this answers your third question.
Operator: Thank you. Our next question comes from the line of Simon Hales from Citi. Please ask your question.
Simon Hales: A couple also for me, please, if I can. I mean, Alex, with regards to the outlook guidance for F '21, I appreciate, obviously, you're not giving any formal numbers around that. But I wonder if you could talk a little bit more about how you see the shape of the year evolving from a sales and profitability perspective? And particularly, we're almost sort of 2/3 of the way through now the first quarter. Any changes in trends that you've noted, particularly in individual markets or regions since the end of fiscal '20 from a sales point of view? And secondly, related to the overall outlook for F '21. From an A&P spend standpoint, how do we think about how that's going to evolve through the year? Do you expect to invest heavily ahead of sales recovery in a number of regions? And then, secondly, maybe one for Hélène around some of the nonreoccurring charges. You talked about the €37 million of one-offs within fiscal '20. A lot of that coming from, I imagine, the contribution of hand sanitizer that you talked about. Can you talk about some of the other things that were in there? And was there any sort of PPE or ongoing protection measures, including nonrecurring items or have they been taken through organically? And will they continue to be taken organically through the P&L going forward?
Alexandre Ricard: Okay. So I'll answer your first question. Well, first of all, we're not going to provide you with the guidance. What I will say is from a running business point of view, we will focus on the essentials. As I said, we will make sure that all investments have a clear purpose behind them. We will continue with the strict discipline of our costs. Specifically, by the way, on A&P, as you asked on A&P, don't forget that we have a normative kind of 16, 1-6, percent ratio, which is, I believe, important. Obviously, that ratio was lower during the last fiscal year. For obvious reasons, we're not going to be investing A&P in on-trade accounts that are closed. And in Q4, they were all closed. So purpose-based investment. But bear in mind, A&P is critical for the long-term health of our brands and for our business. And the 16% rate, I think, is an important rate to bear in mind. When, where, how it will come back to 16% will be based on pragmatism of our teams around the world focusing their investments on clear, purpose-based decisions. Then what you can expect, again, as I mentioned, is a continued resilience of the off-trade. I think that was the big piece of good news during the midst of the crisis. And as long as that crisis continues, our assumption is continued resilience of the off-trade. And by the way, from a -- the piece of good news around this is that off-trade globally is our biggest channel. Home consumption is the biggest consumption domain in our industry. And this will indeed be driven by, number one, home consumption, including new forms of home gatherings, going back to my earlier answer, and also will be driven by e-commerce and at-home deliveries. In terms of markets beyond off-trade resilience in North America and Europe, we do expect, as I mentioned, to see sequential improvement both in China and in India. Going back to my earlier answer on the on-trade, which is struggling today, we also hope to see the light at the end of the tunnel for our customers, and some of them are already seeing the light at the end of the tunnel in some markets. And so we expect the on-trade to progressively reopen and gradually recover during the course of fiscal year '21. I would say the only big black spot is Travel Retail. I do not expect a light at the end of the tunnel in Travel Retail during the course of this fiscal year. I do expect subdued passenger traffic during the whole year. And again, the numbers of July and August are pretty early and strong indication that you should not expect any recovery of Travel Retail this year. So that's basically, in a nutshell, our framework for this year with teams around the world that are quite motivated to make things happen in an environment, which, frankly, is quite volatile and quite uncertain and clearly related to this pandemic.
Hélène de Tissot: On your last question on the nonrecurring charges, well -- and what to expect for fiscal year '21, first, obviously, many of nonrecurring expenses, it's more one-offs than things that we believe would continue. And as I mentioned, in term of nature of those spend, this was the translation of the very brutal stop of our business at the time of the, let's say, global consignment. So to cut a long story short, we don't anticipate this to be material in the current fiscal year.
Operator: Thank you. We are now taking our next question from the line of Olivier Nicolai from GS. Please ask your question.
Olivier Nicolai: Thank you for giving us an update on your e-commerce strategy. Could you just perhaps remind us of how big it is as a percentage of sales for the group or perhaps just for China specifically since it's a bit more advanced? And within e-commerce, what's your preferred business model? Second question is just on Travel Retail. How much of your Travel Retail sales are usually coming from Chinese national travelers? And just, lastly, for Hélène. You've done a lot of refinancing this year. We're seeing the net interest coming down already. For full year '21, would it be fair to assume a net interest coupon perhaps coming down towards more 3%?
Alexandre Ricard: Yes. Maybe on e-commerce, e-commerce today, two things. It's our fastest-growing channel, but it's still our smallest channel. It's still somewhat slightly below 5% of our global business, but obviously, growing its share in our global business. And of that business, the biggest chunk, more than 95% of that is indirect e-commerce. So it's not us shipping directly to consumers, it's basically customers of ours that are trading on platforms. I'm referring to the Amazons of the world. I'm referring to the tesco.coms of the world, Alibabas and Tencent, TMOs of the world. In terms of what's our favorite business model, well, anything that's growing quite fast that we need to see to make sure that our brands are overrepresented in. We're not going to -- we're not in a position where we're going to choose one business model versus another. We're currently -- we currently have all the business models, by the way, and we're still learning. So we have the indirect channels, we have the direct channels, we have the marketplace models, we have the merchant models and so on and so forth. So we're literally everywhere at this stage. So that's for e-commerce. For Travel Retail, I cannot give you a specific number other than there are approximately 140 million Chinese travelers. Well -- sorry, there used to be approximately 140 million Chinese travelers outside of China, of course, not right now, they're 0.
Hélène de Tissot: Moving maybe to a more positive trend, the cost of debt, if that was your third question, so that's a very fair statement in term of trend because if you look at the details of the bond issuance that we performed in the fiscal year, in October, the coupon was between 0% and less than 1%. And what was done in April was, let's say, below 2% anyway. So it's fair to expect some further decline of the cost of debt in fiscal year '21. So far, expectations are closer to 3.3% for the fiscal year '21.
Operator: Thank you. We are now taking our next question from the line of Sanjeet Aujla from Crédit Suisse. Please ask your question.
Sanjeet Aujla: A couple of questions from me, please. Firstly, on the U.S., Alex, you suggested you think the industry is growing slightly below 4% post-COVID. However, across NABCA, we see double-digit growth in May, June and July. So can you just talk a bit about what you're seeing across NABCA and non-NABCA states as well as the on- and off-premise across the U.S. post lockdowns being lifted? And secondly, just on China. Can you just talk a bit about the consumer and wholesaler confidence ahead of Mid-Autumn Festival? And do you anticipate any restocking happening there over the next quarter?
Alexandre Ricard: So on your first question for the U.S., before crisis, our view of the market was a growth rate of roughly 4.5% value-wise. For the full year, which is a blend of nine months growing at that rate and three months or maybe four months of enhancements growing at a lower rate than 4%, anywhere between 1% and 3%, gives you an average of what we believe is slightly below 4% for the full year 12. We do believe post pandemic that the market will return to anywhere between 4% and 4.5%. When exactly? I don't know, to be honest. But post pandemic, this is the kind of normative growth rate we should expect. So the real question is when will we get back to anywhere between 4% and 4.5% from current trends that are currently below.
Hélène de Tissot: One word on the current trend. I mean as we mentioned, the performance of Martell in June was back to growth in term of value depletion. For Mid-Autumn festival, consumer confidence, I think it's a bit too early to say anything specific to that. We see the timing, as you know, is different than last year. So there would be some impact in terms of phasing for Q1 because timing this year is early October where it was mid-September last year. So too early to say, I would say, in term of consumer confidence and trade appetite. But obviously, our teams are very mobilized to make it a good festive season depending, obviously, on the context.
Sanjeet Aujla: Got it. A quick follow-up on the U.S., Alex. Is it fair to say the non-NABCA states would be underperforming the NABCA states post-COVID?
Alexandre Ricard: If I look at the Nielsen Panels and the NABCA, Nielsen for the full fiscal year, the Nielsen Panels are up roughly 14%. The exact number, I think, is 13.8%. If I look at NABCA, NABCA for the full year, fiscal year 12 months, is up 14.5%. So -- and the off-trade represents 77% -- from our point of view, 77% of the market. Now then the numbers will vary, by the way, from one brand to another and so on and so forth. So NABCA off-trade, by the way, let's be clear, it's NABCA off-trade, 14.5%. Nielsen, which is only off-trade, 13.8%. So there's a slight overperformance of NABCA based on these numbers at one point, and this is maybe because the NABCA states are a little bit more skewed towards tequila, cognac and U.S. whiskey.
Operator: Thank you. We are now taking our next question from the line of Celine Pannuti from JP Morgan. Please ask your question.
Celine Pannuti: My first one is coming back on the on-trade performance. Thank you for telling us about June for Martell in China. Are there any other example that you can give us for local recovery maybe in Europe or in the U.S., how things have been trending sequentially? My second question is on gross margin. The impact of the mix of Travel Retail of off-trade has been important in fiscal year '20 and especially in H2. Would it be fair to expect this to continue to a certain extent in the fiscal year '21? And could you also comment on the raw material cost inflation? And finally -- no, I think I will leave it here.
Alexandre Ricard: Okay. I'll take your first question on the on-trade. Other than saying that we believe there will be a gradual and sequential improvement of the on-trade, it's very difficult to give you specific details market by market. So I mentioned, 90% of the on-trade is reopened in China. What I could say is in the U.S., it will vary significantly from one state to another. And by the way, we believe anywhere between 20% to 25% of on-trade accounts will not reopen. But that, to be fair, the U.S. is probably one of the most dynamic markets in terms of on-trade closures and openings, very entrepreneurial market. And if you look at other markets such as Europe, then you see a disruption in the on-trade where you have specific regulations from one market to another. I'm not going to mention France where it even varies from one region to another where closures are mandatory after a specific hour and so on and so forth, where, by the way, talking about the on-trade nightclubs have still not reopened and will not for the foreseeable future. In Spain, again, it's regional, depending. In the U.K., it has now reopened. In fact, in Germany, they're all open. In some Nordics, they never, in fact, closed. So situation varies quite significantly from one market to another. I think at this stage, what we can say is we believe the on-trade will just sequentially improve over the coming months.
Hélène de Tissot: The question on gross margin, as you rightly mentioned, we had some negative impact in fiscal year '20 in terms of mix and this was very true for the performance of our Strategic International Brands, especially Martell and Chivas. And the fact that those brands and few others that we commented are very exposed to Travel Retail is something that will continue in fiscal year '21 knowing what is our expectation for Travel Retail in fiscal year '21. For the material cost inflation -- raw material cost inflation question, I would say that some of the -- most of the headwinds I mentioned in fiscal year '20 like agave, glass and GNS have been quite negative for already a few years now. So let's see what's going to happen. We are working, obviously, significantly to try to offset those increase. It's a bit too early to say. But we don't expect a very significant shift in term of trends for the fiscal year '21. And for the rest, I would say, in terms of mix, obviously, it really depends on what would be the dynamism of the different markets and brands in the coming months.
Celine Pannuti: I have a follow-up. In fact, I wanted to know, you mentioned at the beginning of the call that premiumization has continued to be strong and we have seen the market in the U.S., even if it has slowed down, overall has remained resilient. What kind of environment are you preparing for fiscal year '21 in terms of consumer given that there's been some support by governments to consumers that may not be the case as we look into the next 12 months?
Alexandre Ricard: So if you look at, in fact, the very latest, latest Nielsen Panel, and then I'll answer more broadly your question, and you look at the U.S. Nielsen's, the last week finishing, what's it called, August 22, so that's the fresh data from yesterday, Nielsen public available to all who pay Nielsen, the market was up for the week 24%. That's the off-trade. Value, 0; standard, 10; premium, 23; super premium, 40; ultra-premium, 60; and Prestige, close to 70. Well, now just to answer your question. I don't know what lies ahead for the next 12 months. What I do know is in 2000 -- in August 2009, a broker report titled premiumization is dead. And six months after, we never experienced such a great -- growth rate for premiumization. So there might be some glitches in the course of world history. But in terms of premiumization, which is one of the two deep human insights our business model is based on, alongside conviviality, the need to be together, there is this need for to improve continuously and premiumization is part of it. Will there be -- because of the financial recession, will there be some glitches in terms of premiumization? Maybe. But I'll tell you one thing. In fact, what I do believe in is, obviously, the world will recover. The question is when and at what pace. But the underlying question is I don't think it will evenly recover everywhere at the same pace. Some -- there will be Ls, Us, Ws, Vs, Ks and all that kind of stuff. And these will vary from one market to another and from one brand segment to another. And that's where I say that the focus for Pernod Ricard is twofold: number one, short term, to be sure, and that's -- there's a bullet point that explained this in our conclusion. Just to be sure to be able to seize every single opportunity, we said agility to be harnessed to just fast to capture evolving market opportunities. I think that's the short-term focus of our teams. And at the same time, and that's the second point, to remain and stay the course in terms of our strategic long-term plan because we're also building the future today. So there's the long-term focus, which I don't want to forget, and there's short-term focus as well. And that's the two full strategy currently or the twofold mindset we have: seize short-term opportunities and not to forget we're building the Pernod Ricard of tomorrow through our transformation agenda. Both premiumization, long term is a nonissue; short term, you'll see it in some markets and probably not in others. And so be it. We'll adjust accordingly. And that's where being diversified, both from a geographical standpoint and even more so from a product portfolio standpoint, is actually pretty cool.
Operator: Thank you. We're now taking our next question from the line of Laurence Whyatt from Barclays. Please ask your question.
Laurence Whyatt: I was wondering if you could let us know a little bit more about what's happening in India. There's obviously been a lot of changes with regard to taxation and a complete shutdown of the distilleries. What's the current state of the market? And would you expect a recovery within the first half of the year? Secondly, on the Travel Retail market, are you seeing any of the shift from Travel Retail into the other off-trade channels within the countries? And finally, on the A&P spend, I was wondering if you could clarify, you mentioned 16% ratio to the answer to a previous question. Am I misremembering that it used to be 16.5%? Or are you just being a little bit less specific at the moment? Should we expect 16% or 16.5% on a normal basis?
Hélène de Tissot: Okay. Thank you very much. So I'll start with India. So right now, we believe the overall, let's say, trade situation is close probably to 85% in terms of outlets being reopened, probably with the volumes at circa, I would say, 70%. So that's where we are right now. The production capacity is quite, let's say, similar to those figures. And as you know, obviously, India is still very much impacted by the COVID. So there were obviously some very strict sanitary measures in place that are impacting us because we are fully implementing them, obviously, especially in our production facility. So this is where we stand in term of pace of the recovery for India. Same answer, I would say, for the other markets. It's very difficult to predict. Obviously, it's much better than what was Q4. As we mentioned, April was full down, both on-trade and off-trade, and it's very much off-trade market, as you know. End of June, volumes were probably circa 50%; now it's 70%. So it's an improvement there. In terms of Travel Retail, there are certainly some shifts from Travel Retail to domestic sales. It's very difficult to quantify. And your last question on the A&P, it's really rounded figures when we said circa 16%. So we don't see any dramatic shift versus what was said before, on the contrary. Having said that, we want obviously to have strong investment with strong return on investment. And we want as well to improve the efficiency of our A&P spend moving forward.
Operator: We are now taking our next question from the line of Trevor Sterling from Bernstein. Please ask your question.
Trevor Stirling: Just two from my side. The first one, you mentioned in China that Q4 was a lot of inventory adjustments. Is the current run rate for shipments now caught up in line with the sell-out? And the second one for Hélène, you mentioned the tax rate is down to 24.2% this year due to the fall in the Indian tax rates. Is that now fully in the base? Or is there a little bit of annualization to go forward, so you'd expect the tax rate to be a little bit lower next year?
Hélène de Tissot: I start with the tax rate. So this 24%, as you said, is mainly linked to the evolution of the Indian tax rate. As you might know, the fiscal year in India is from 1st of April to the end of March. So I would say it's already in our basis. The only thing is that there's, as well, always some uncertainty about tax rate evolution in the world moving forward. So let's see what's going to be fiscal year '21 about. But we expect a tax rate which would probably be quite similar to this year, let's say, between 24% and 25%. But with the uncertainty in terms of P&L performance, it's difficult to be more accurate in terms of tax rate.
Alexandre Ricard: Well, on China, Q4 adjustments is the norm. So every single year, we load the market ahead of Chinese New Year and then Q4 is the adjustment quarter. If we have a good Chinese New Year, we adjust accordingly by doing some sell-in. If we have a bad Chinese New Year, we adjust accordingly by not selling in and making sure we end the month of June with healthy or sound inventory levels and this is what we did this year as well. So we finished the year in China with sound inventory levels. And again, what -- you can expect a sequential improvement between the Q4, for sure, in China, and Q1, which started in July.
Julia Massies: Thank you very much, Hélène and Alexandre. Thank you, ladies and gentlemen, and let us wish you a good day, and please all stay safe. Goodbye.
Hélène de Tissot: Goodbye.